Operator: Good morning, and welcome to the earnings call for Raymond James Financial fiscal first quarter of 2016 results. My name is Kayla, and I will be your conference facilitator today. This call is being recorded and will be available on the company's website. Now I would like to turn the call over to Paul Shoukry, Vice President of Finance and Head of Investor Relations at Raymond James Financial. Please go ahead.
Paul Shoukry: Thank you, Kayla. Good morning, and thank you all for joining us on this call this morning. As always, we appreciate your time and interest in Raymond James Financial. After I read the following disclosure, I'll turn the call over to Paul Reilly, our Chief Executive Officer; and Jeff Julien, our Chief Financial Officer. Following their prepared remarks, they will ask the operator to open the line for questions. Certain statements made during this call may constitute forward-looking statements. Forward-looking statements include but are not limited to information concerning strategic -- future strategic objectives, business prospects, anticipated savings, financial results, industry and market conditions, demand for our products, acquisitions, our ability to successfully hire/integrate financial advisers, anticipated results of litigation and regulatory developments, our liquidity and funding sources or general economic conditions. Words such as believes, expects, anticipates, projects, forecasts and future or conditional verbs, as well as any other statement that necessarily depends on future events are identified -- are intended to identify forward-looking statements. There can be no assurance that actual results will not differ materially from those expressed in the forward-looking statements. We urge you to carefully consider the risks described in our most recent Form 10-K, which are available on the SEC's website at sec.gov. So with that, I'll turn the call over to Paul Reilly, CEO of Raymond James Financial. Paul?
Paul Reilly: All right. Thank you, Paul, and good morning. I know that many of you in the Northeast are now bracing for a storm. And I'm not sure we're bracing for a storm here in St. Pete, but we're certainly watching the financial markets, which are extremely turbulent. Before I get into the results, I first want to thank our advisers. We need to remember that our business is focused on helping clients, and they certainly are doing a great job working with them in this very, very difficult market and climate. And if we take care of clients long term, our business will be just fine. So I want to start off with that thank you. I know at the end of last quarter, I told you it was just a typical solid Raymond James quarter where we continue to produce. I guess you'll be happy to hear I don't view this as a typical, solid Raymond Jame quarter -- Raymond James quarter. The financial results were disappointing, but they were really caused by a number of market factors. Certainly, the headwinds and turbulence in the market, a timing of some of the expenses that hit that we'll cover and hopefully some expenses that are nonrecurring that have to do with kind of reserves for events. Since we're focused on the long term, before I get into the numbers, I want to talk about, really, the highlights of the quarters and why, at the end of the quarter, we still show an improving and strengthening franchise. First, we had a record number of advisers of 6,687, up 351 for the year and 91 net advisers, sequentially. So we continue to show great momentum in recruiting, really due to our ability to support our systems and primarily our culture, where people love the environment here at Raymond James. And that has resulted in, more importantly, very low attrition, which gives consistency to our firm and to our clients. Second is client assets under administration, it crossed $0.5 trillion. I finally get to use the word $0.5 trillion at $500.4 billion. Year-over-year, up 4% in essentially flat markets. And if you look at our competitors, we've been kind of leading the pack in that statistic. And we still have a great pipeline of recruiter -- or recruits that will continue, I believe, to drive that number, subject to the equity markets. Third, the bank. Net loans are up to $13.7 billion. That's 16% year-over-year and 405 -- $745 million over September. And with that growth, I mean, growth in these kind of markets always causes some concern, but we're very comfortable with the disciplined underwriting and improving credit metrics, although always cautious in watching the markets. We also announced the acquisition of the U.S. Private Client Service unit of Deutsche Bank. That unit had, at the time, $500 billion in assets, 200 great advisers -- I'm sorry, $50 billion in assets, 200 great advisers and -- plus support staff under leadership of Hike -- Terry [ph] and his team. And we're very, very happy as we've met the vast majority of those advisers and believe they'll be a great fit and help us continue our strategic growth into the Northeast and high/ultra-high net worth segment of our business. And last but not least is looking back, we continued strong capital discipline even with all the opportunities over the last 2 years. And I think that the Deutsche Bank Private unit -- Service unit showed great discipline in the pricing. And since January, repurchasing 1.5 million shares under a plan that we filed before the blackout period. So I'm proud of our team, of our culture and our progress towards our strategic initiatives. Now I'd like to talk about the quarterly results. The first quarter, the net revenue at $1.27 billion was up 2% year-over-year and down 5% sequentially. The revenue drop was really focused on a couple of items primarily. First is our assets under administration. We're down 4% to start off the quarter. That's because of the markets ending in last September 30, where our client assets were down 4% due to equity markets. We still had net inflows in advisers. That gave us -- since we bill quarterly in advance, that gave us some headwinds certainly in the billing. We had poor markets in investment banking. November and December were very tough in underwriting, remembering that we have a very strong energy business, which certainly was on the sidelines from a banking perspective. The real estate and other groups were slow across the industry. We had -- third factor is our lower PE gains. September quarter was very high, a very good quarter for us. If you look at the rest of the businesses, there were ups and downs. But these items alone, these 3 items, account for the $66 million shortfall. The quarterly net revenue -- quarterly net income of $106.3 million or $0.73 per diluted share, the size of the revenue impacts I just covered, and there were certain expense categories. Some of these I would call investment expenses due to growth and others, hopefully, onetime types of expenses on some reserves. So on the investments related to growth, recruiting financial advisers. When you recruit in up markets, the numbers look good. When the revenue goes down, it kind of exposes the expenses, but these are good investments. So for example, in recruiting financial advisers, we had $3 million in ACATs or client transfer fees for the quarter alone bringing in accounts for advisers, $2 million for the quarter alone in outside recruiting fees, not including our internal recruiters; and amortization of transition assistance; and certainly, some systems development cost. So when you look at that, you can see the type of investment we're making to grow the franchise. Certainly, it becomes more apparent in these kind of markets. Second, we had $10 million provision for legal and regulatory reserves for a couple of items that hit the quarter. Those are normally part of our normal expenses. They just happen to be heavy this quarter. And hopefully, they're not recurring items, but they -- but that certainly elevated the expenses in that category for the quarter. And we also had a $4.5 million qualitative reserve on energy credits, which Jeff, and I'm sure you have questions for Steve later. All of our energy loans are performing. I think our mix is different. It's a small percentage of our portfolio. But again, using judgment, we did put reserves on top of that. So the revenue declines and the expenses combine for a below target 13.2% pretax margin and a 9.3% ROE for the quarter, certainly below our targets. Let me talk briefly on the segments. On the Private Client Group, we already described the revenue and expense impact. Again, the revenue on a 4% lower starting assets and lower syndicate business, with investment banking, off the new issued credits, certainly down. And we talked about the legal, regulatory reserve. Both of those really impacting PCG. Recruiting continues at a torrid pace, really with fantastic retention. Year-over-year assets under administration growth in essentially flat markets, up 3% in fee-based assets, up 9%, really best in class. Capital Markets, really a tale of 2 cities. Equity capital markets, really anemic underwriting environment for everybody especially in November and December but especially impacted by our energy business, it being a good percentage of our business, certainly held down results. Although M&A for the industry was a reasonable quarter, we were off,, and there's no structural reason for it. It's a lumpy business. It was slow in the quarter. As you -- as we look at the pipeline, I can't tell you why it was slow in the quarter. It's just they close when they close and you have good quarters and off quarters, and it was just an off quarter for us. Similarly, our tax credit funds were down from a record quarter in September. A record pipeline there. It's just, again, a lumpy business and we recognize that income when those deals closed. And again, that quarter, there's nothing structural. They were just down. The other side of the business, the Fixed Income was really exceptional results given the market conditions. Many people had structured -- had losses or significantly low results and had laid off people. Ours is actually opposite. Commissions were up, trading profits were up and they've continued to perform very well in a very difficult marketplace. Asset Management growth, the growth in PCG supported AUM growth. We had a record quarterly net revenue of $100 million. Our bottom line was supplemented by a $3.5 million performance fee. Now remember, a year ago, we had a $5 million performance fee for the same quarter a year ago. But again, good results in our Asset Management division. And we'll give a little bit more color on assets a little bit later. RJ Bank performed well. Net loans at $3.7 billion, quarterly net revenue of $108 million. Credit quality continued to improve in all the credit metrics. And once again, we talked about our energy reserve. So those are the highlights. I'm a little light on numbers because I know we'll get a lot of questions on this call and they're in the release. And Jeff -- I'm going to turn it over to Jeff to cover some of the more details and then get back to you on kind of the outlook a little bit going forward. So Jeff?
Jeffrey Julien: Thanks, Paul. I'm going to focus on some of the larger line items and some of the bigger variances from the consensus model here. Securities commissions and fees line. Actually, all the models adjusted pretty well for the beginning billings being at a lower level than the preceding quarter. And commission levels were fairly close to what was projected. Investment banking, as Paul talked about, was a big miss. As you look at the detail in the press release, every component of investment banking, which is underwriting, M&A, fixed income, tax credit funds, et cetera, all were down from the preceding quarter. So that one was a significant miss relative to expectations. Investment advisory fees were pretty much on top of expectations. But again, aided, as Paul mentioned, by the performance fee in the quarter. Net interest income was below the consensus projection, most likely related to the lower than -- lower net interest margin at the bank, which went -- fell to 2.9% versus 3.03% last quarter. Really a result of a couple of things: Lower fees recognized -- first of all I'll mention, it doesn't take much to move our net interest margin around. About $350,000 is a basis point to our NIM, so if you have a couple of million dollars in fees, you can see what it can do in a quarter to the net interest margin. But there's also -- some of the fee realization was less in this quarter than it had been. And secondly, it has to do with asset mix as commercial real estate’s become a little bit bigger percentage of the portfolio, which has a slightly lower yield than the C&I loans. And SBLs could be a portion of that as well as those grow more rapidly. Account and service fees. I'll get back to interest later on about giving you some forward-looking expectations given the interest rate change in December. Cat and service fees were slightly under projections. A lot of that's tied to asset values. And while I think commissions were adjusted appropriately, perhaps some of the fees that we get related to asset values and mutual funds and insurance and annuity portfolios were not necessarily adjusted. We estimate that until we get the actual payments. Maybe we've underestimated, maybe we haven't. We're typically pretty close, but we try to take into account market activity during the period, as we will in the current quarter. Trading profits were strong, actually probably stronger than we would project they will stay at going forward. We guided typically toward a $15 million to $18 million a quarter type number and still think that's a probably good guidance going forward. And then the other. You can see in the detail, again, in the press release, we only had $1 million of private equity valuation gains this quarter versus much larger numbers in preceding quarters. I think that's one of the lowest quarters we've had in a while. But again, given what the markets are doing, valuations may take a different tack going forward as well. So that's, again, something we guided toward the fact that can't count on that recurring for the indefinite future. Pretty close on comp and benefits. We're actually happy to stay at our 68% comp ratio given the decline in revenues for the quarter, but we didn't do much better than that. So we were pretty much right on top of our target there. Communications and info processing was slightly elevated this quarter. Again, we had a lot of regulatory work underway. And later on the year, we actually expect this to moderate a little bit as some of the resources are deployed over to the Alex. Brown conversion and other things. So we still think our $70 million per quarter average for the year is probably reasonable guidance on this particular line item. It just happened to spike a little bit in this particular quarter. Jumping down to business development, Paul talked about some of the items, it's predominantly driven by PCG, where you can see the exit fees, ACAT fees, costs related to home office visits, costs related to putting transitions, people on the road, payments to outside recruiters, et cetera. Some of those caused this slight increase from the consensus on that, but that's an expense we're willing to incur as long as we can continue to recruit 90 advisers net per quarter. That's well, I think, a good investment for us to make long term. The loan loss provision, we've talked about. We had a little higher growth probably than you were projecting. And once again, we had the third month phenomenon, where we give you the statistics through 2 months but we don't give you the third month until the earnings release. And of course, in December, again, the bank had a pretty good month. And then we took this additional reserve for the energy portfolio to be cautionary for the potential that energy prices remain at low levels for an extended period of time. Then the other expense, it was about $7 million or $8 million higher than the consensus, and that was really related to this approximately $10 million reserve for various legal and regulatory matters that Paul mentioned in the Private Client Group segment. The tax rate was a little bit lower than expected for the quarter. That has to do with predominantly 2 things. Tax exempt interest, our level of tax exempt interest is growing a little bit as we've had more tax-exempt loans on the books at the bank, as well as depending on the levels of municipal inventories we keep during the quarter. The other thing is the gains on the COLI portfolio. The S&P was up about 6.5% in the December quarter, so we had some gains in that portfolio which are nontaxable. Obviously, that worked the other way, worked against us in the preceding quarter, in September. And we'll see about this quarter. Couple other points I'd like to make. We set out a separate line item for the acquisition integration cost related to Alex. Brown. You can see we had about $1.9 million in that line item for this particular quarter. We think -- and this is really somewhat of a swag, but we think over the course of this integration, it may get to a $25 million to $30 million type number. And if it becomes significant enough, we may decide to go back to a non-GAAP presentation. But for now, the math is pretty simple, so we didn't this particular quarter. But we will continue to isolate what we consider incremental nonrecurring costs and put them in that line item so you can treat them accordingly. Secondly, I said I'd get back to interest. With the 25 basis point hike in the Fed funds rate in December, that will benefit 2 line items predominantly. It will benefit the account and service fees line, where we get fees from outside banks for our bank sweep program; and it will benefit the interest earnings line. Our total, if you remember, we said was about $150 million dollars for a 100 basis point rise. It's roughly pro rata. So cash balances from clients, given the market activity in September, August as well as now, have -- cash balances have increased somewhat. So our $150 million will probably be a slightly higher number. So for ease of math, we'll say it's $160 million, so I can use a nice round $40 million per quarter when -- and it's roughly pro rata, so we should get something like a quarter of that benefit on a quarterly basis going forward. So we're projecting -- if nothing else happens to interest rates, we're projecting about a $8 million to $10 million benefit per quarter going forward starting with the quarter we're sitting in now. And then it'll be split roughly 55-45 between the account and service fees line and the net interest line. And if the Fed moves again in either direction, we'll have to revisit that. Lastly, I'd like to point out that all of our capital ratios remain very strong. In fact, they were up slightly at the RJF level given the increase in shareholder's equity. They were actually down slightly at the bank, mainly because of the growth in the loan portfolio. And lastly, I'm reminded, going back to interest for one second, the guidance on NIM, although Steve probably will address this anyway, we think this hopefully is a little bit of a low point, like we got lucky and called the low point last cycle. Hopefully, this is a low point. We actually think our 3% NIM guidance for the year is probably still pretty good on average given what we know today. It should tick back up into the high 2.90s and then get back into the low 3s for the rest of the year. Just again, based on what's in place today, obviously, the loan portfolio's a little bit of a moving target. We can't anticipate prepayments and things like that, though we also can't anticipate what the Fed might do with additional rate moves. But based on what's in place today, I think we're still pretty comfortable with that guidance at this point. So with all that detail, I will turn it back over to Paul.
Paul Reilly: All right. Thanks, Jeff. Let me just give a little further kind of reminder, although we've covered it in pieces, of kind of where we are going forward. The Private Client Group for the quarter, where we had headwinds coming in, should have tailwinds in terms of beginning assets anyway, we're up 6%. So certainly the billing, the advanced billings, will be up versus last quarter. And Jeff talked about the interest rate help the segment will receive also. Now they're not without tailwinds in the Private Client Group. The equity markets certainly performed so far this quarter, are going to impact trails, commissions on mutual funds, which are calculated basically on daily kind of balances. And certainly, syndicate activity hasn't really picked up in January, which will have impact also. Also, I want to remind you also that the first quarters for the calendar year is always the fun quarter for us because we have the restarting of payroll taxes, postage and printing for all the statements that always hits this quarter also that kind of penalize this quarter versus the other quarters. In Capital Markets, I wish I could tell you much more about the underwriting. The underwriting business was tough for us. It is in the marketplace. Certainly, January hasn't been a great month for the industry or for us. And I can't predict what will happen in the markets. Certainly hadn't been fun in the last month, but we will see. So that will continue to remain a headwind. The M&A backlog is strong and the tax credit fund backlog is kind of at record levels, but they are lumpy businesses, they are transactional businesses. We can't predict the timing of when deals close or hit or can't say that really bad markets don't impact buyers and sellers in M&A. So -- or even pricing and tax credit funds, all that should be positive right now. So given that, I think the backlogs are strong in those 2 segments, but the timing is certainly lumpy and uncertain. Fixed Income continues to perform well. Certainly, the trading profits and commission levels were very strong last quarter, maybe a little more difficult to achieve but still should be solid, maybe quite not at the levels where we sit in January. But again, we're only a few weeks into a quarter. Asset Management will continue to benefit from a strong recruiting momentum in terms of net asset flows, Eagle has had a very healthy gross sales, certainly, like the industry, has been challenged with outflows in the equity piece. So given that piece, we should see growth, but Asset Management is impacted in that it has a 2/3 exposure to the equity markets, and certainly, downward equity markets will put pressure on that business if they maintain. Raymond James Bank, I think, is in a great position. We're pretty comfortable with our ability to grow. We're continuing very disciplined underwriting. And in terms of oil and gas, I can't tell you what's going to happen on the prices. Maybe we can tell you where they're going to open today, but that's about it. We understand this is an industry that has long up-and-down cycles. You can probably ask Steve about -- questions, a little over 3% of our loans are in our energy segment, but only one of those loans is an E&P loan. It's an investment-grade facility. They're all performing. Most of them are midstream deals, but certainly, they're not immune from long-term oil cycles. And if this is a short-term blip, I think we'll be fine. If it's a long-term downturn, they certainly are going to be impacted over time. And I could predict oil prices, but I probably will do as well as I did in predicting interest rate rises, so I won't. Overall, we've had strong recruiting, I expect that to continue. We've had great retention, and hopefully, that will continue and I'm pretty confident in that. And they are both great asset growth drivers, subject to the equity markets, certainly is going to impact that. Although I think the momentum in terms of people will be positive subject to the ups and downs of the equity market. Long term, we run this business for long term, so we'll continue to invest in recruiting. And more importantly than anything, we'll continue to support our advisers to make sure they do a good job for clients. But we are focused on reining in discretionary spending during this period of time. Certainly, we've had a period of long-term investment which has paid off. But we are paid to manage the business and we will be looking hard at discretionary spending. We're not looking at any big cuts at this time, but as to make sure that we do control expense growth certainly into this market. And if the market continues, we will -- downward and is long term, we will continue to manage the business. That's what we're paid for and that's what our investors expect. And if you look at Raymond James, we've historically outperformed in down markets mainly because of our conservative agency client-focused business, but also because we do what we have to do. So it's not a foregone conclusion that we'll outperform, but I think I'm pretty confident of us and the team in that we will react. So with that, I thank everyone for being on the call today. I hate to have record attendance because of the quarter versus just our interest in us, but that's great. We appreciate your time. And I'm going to turn it over to Kayla to open up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Joel Jeffrey with KBW.
Joel Jeffrey: Just in terms of the energy provision, can you give us the percentage, the total reserve against the loan book within that portfolio?
Steven Raney: Joel, it's Steve Raney. Yes, the total energy reserves is $18.7 million. That's about 10% of our total reserve. And that reserve is 4.2% against our energy loans. Our outstanding energy loans as of 12/31 was $444 million across 32 borrowers. So...
Paul Reilly: I just want to also just emphasize here that we certainly can't predict the future and certainly on individual credits. But a lot of people want to use percentage. Our mix is different. We have 1 E&P loan. It's an investment-grade facility, so we're not heavy on E&P. We're certainly not into reserve lending. Most of them are midstream suppliers. Many have -- still have take-and-pay contracts. But again, we don't assume that's going to last forever if there's a long downturn. But again, classifying something as energy or oil and gas is -- we have other things in that bucket besides oil and gas credits. So they're not all alike. I think that we're being very proactive and responsible in how we're reserving for that. But I can't tell you there won't be more.
Joel Jeffrey: Okay, appreciate the color. And then there may be some overlap in this as well, but as you think about your Canadian loans, I know that's grown a bit recent years, can you talk about the reserves you have on those loans?
Steven Raney: Yes, Joel. There's no energy exposure at all to any Canadian companies.
Paul Reilly: Hydroelectric...
Steven Raney: Yes. I mean, other than -- we have some power infrastructure, wind and solar, but no traditional energy exposure. We have about $1 billion in loans across a very large number of Canadian borrowers, 50-plus borrowers, only 2 of which are criticized currently. So it's a very diverse portfolio across corporates and some commercial real estate. I don't have the actual dollar amount off the top of my head in terms of reserves against that Canadian portfolio, but it mirrors the U.S. domestic portfolio very closely.
Joel Jeffrey: Okay, great. And then just lastly for me, on the Private Client, the reserve you took, I know you said it was $10 million, can you talk a little bit about what those were tied to and how much that $10 million is above what you typically reserve for in a quarter?
Paul Reilly: Yes, I think the $10 million increase usually goes up $1 million or $2 million or down $1 million or $2 million a quarter and just gets buried in the numbers. This was a bigger increase and we don't specifically talk about any legal or regulatory matters, but the -- it was just a little lumpier. And so versus if it was a normal quarter, you might have seen it gone $2 million up or down. This quarter, there was $10 million because of a couple of items. And again, hopefully, they're not recurring. And again, we try to reserve that adequately for anything we know about.
Operator: Your next question is from the line of Devin Ryan with JMP Securities.
Devin Ryan: I would maybe start on the DOL fiduciary rule. It seems that we're moving closer a finalization. So curious if you guys are doing anything proactively to prepare for various scenarios. I know that it's not certain yet and the devil will be in the details, but can you do anything to get ahead of any potential changes? And also, are you seeing any changes in the competitive landscape as we move toward a final rule? Maybe more sellers or anything else notable there?
Paul Reilly: I think that we can prepare and that it's almost like a what-if scenario because we don't know the rules. So we have a team that's focused on what happens if we can't charge commissions, what our fee-based accounts look like, what happens if certain items are excluded, how would we react. We're a part of the industry group, FSI, and [indiscernible] particularly are -- have working groups of firms just doing kind of what-if scenarios on the industry. And so we're actively engaged in that. Having said that, the DOL has really told us nothing, I mean, concrete. We haven't seen anything. And there's a belief that it's going to be rushed through to OMB and the President to get it -- make sure it's enacted before he goes out. I don't know what it's going to look like. So again, we've been consistent. We've been consistent thinking it's not good legislation for clients. We've been consistent saying, although well-intended, it's not good for clients. We've been consistent saying we believe it's going to come out this year despite our industry and client kind of fight against the rule. And -- but we just don't know exactly what it's going to say yet. So we're preparing the best we can, but we're not changing technology or programming or anything till we know what the rule says.
Devin Ryan: Okay. A question for Steve on the bank NIM. How much were corporate loan fees in the quarter? And it sounds like this was a lighter-than-normal quarter, so trying to get a sense of if that's a trend, if we should expect lower corporate loan fees moving forward. And the 3% NIM commentary, does that reflect any additional Fed action? Or is that kind of the status, Steve, from here?
Steven Raney: Yes, Devin. It was about $6 million this last quarter compared to about $8 million the prior quarter. And can be rather lumpy. We get unanticipated payoffs, and sometimes, we just use the exit credits because of repricing that's recurred over time. We have seen the fee trend come down, I would say, over the last couple of years. You may remember, we had the rather large discount in the Canadian portfolio that we acquired that back in 2012. That's pretty much gone now. So of the $6 million number, once again, it can be a rather volatile and lumpy. Not quite sure what to expect for the next couple of quarters, but that's probably kind of a good number. That 3% number really doesn't include any additional Fed actions at this point. We are going to get the benefit of this quarter of the increase in the LIBOR rate. LIBOR's doubled in the last 30 days or so. It's around 40 basis points now. A month ago, it was 20 or so. In the November and into early December, it was around 20 basis points. We have a look of LIBOR-based loans, but our securities-based loans as well as a lot of our corporate loans are LIBOR-based, so we'll get the benefit of that. And we're not going to be chasing any yield. So we're going to stick to our underwriting and pricing discipline. So once again, I think that number of around 3% is kind of a good number going forward without any Fed action.
Jeffrey Julien: And a lot of the corporate borrowers on 90-day LIBOR, so as they hit their reset dates throughout the quarter. So this quarter we're sitting in may not get the full benefit on this corporate portfolio, but -- until they all reset, which would be in the June quarter.
Devin Ryan: Okay. Got it. Okay. And with respect to recruiting, another great quarter there. It looks like a number of pretty big teams have been joining. Historically, I believe the recruiting can be disrupted when volatility picks up. So do you feel like we need to see a recovery in markets keep that momentum going? I'm trying to think about recruiting relative to the comments that the expectation is that the pipeline's solid and that it should remain active.
Paul Reilly: It's interesting. I think that recruiting's helped by 2 factors. So it's a push and a pull. We've seen in January even some acceleration in joins. So again, it's still early. Historically, when markets are off, advisers tend not want to go to clients and say, "Your account's down 20%, and oh, by the way, I'm changing." But we haven't seen that yet at all. So could it impact us? Absolutely. Has it impacted us yet in terms of pipelines or commit dates or joins? It hasn't. So certainly, we're short into the January and there's been awful lot of action into January. So historically, we've seen that. Potentially, it's there, but we're not experiencing that right now at all. So ...
Devin Ryan: Okay, that's great. And then just last one on the regulatory charge, is that for a disclosed event? Or is there anything else you can provide on that expense in the quarter?
Paul Reilly: A couple of items and, it's no disclosed event. So...
Operator: Your next question comes from the line of Bill Katz with Citigroup.
William Katz: Could you talk a little bit about your expectation for comp in fiscal 2016? You said you were right at 68% in the quarter, so curious with all the different pushes and pulls across your business line, how are you thinking about that line in '16, maybe, at either absolute level or as a percentage of net revenue?
Steven Raney: If we can continue revenue growth, which we obviously didn't in this particular quarter, but if we can get back to a resumption of revenue growth, we think it should drift down into the high 67s, probably about what most of you had modeled for the year, I would guess, because we don't -- we'll get some modest leverage from the growth in revenues despite the fact that we're hiring a lot of producers with variable comp. So -- again, if we don't get revenue growth, we have a fairly big machine here. So we might get some slippage like we did a little bit this quarter. So the 68 is still our target number for the year. We're optimistic that with revenue growth, we can do a little bit better.
William Katz: Okay, that's helpful. And then, on the banks, I know as the reserve ratio itself picked up a couple of basis points and, perhaps, this has reflected in the qualitative increase for the energy portfolio, is there any sort of systematic change in your expectation of where you want to run that reserve ratio as you think about the exceptional loan growth that you're seeing relative to the economic cycle?
Jeffrey Julien: No, Bill. It's really ground-up, loan level and then as we mentioned, qualitative factor around the energy portfolio. So we really don't build it in terms of reserves to loans. Kind of top-down, it's really ground-up.
Paul Reilly: It's harder to predict in the future how all the energy loans are performing, but we put the reserve on given the energy markets. So who knows what the right number is? It depends how long price is stable, not necessarily that they dip and come back. It's a ...
William Katz: Okay. With all else being equal and no other changes, 1.35 is about the right ratio making no other assumptions then?
Steven Raney: Given the current loan mix.
Jeffrey Julien: Yes, yes.
William Katz: And then final question. You mentioned, I think, you used the word torrid in terms of the pipeline, you mentioned no change in January as well, which is nice to hear. Can you talk a little bit about where you are seeing the FAs and platforms coming from and where you picking up market share with some of the underlying dynamics around that?
Paul Reilly: That still tends to be -- the wire houses tend to be the best providers of good FAs for us. So there's certainly other firms, but they tend to be the vast majority and as they change platforms and billings and approaches and more institutionalization to their businesses, alternative channels. We still have a lot of people that don't like that model and are coming to us. So I don't see that changing in the short term.
Operator: Your next question comes from the line of Steven Chubak, Nomura Securities.
Steven Chubak: So I guess this first question is for Steve. I was certainly pleased that you've already built reserve levels for your energy book north of 4%. What we've been hearing from some of the regional and universal banks here is some sensitivity around the additional reserve build that would be needed in the event that oil prices stay below $30 a barrel versus the same period. I don't know if you -- presumably you got to run those sensitivities and then if you can share your findings? Or just some guidance?
Steven Raney: Once again, we'll continue credit by credit, loan by loan out of the 32 borrowers that are in this sector. And each company has its own characteristics and as we've conveyed, many of them are not as exposed directly to the well head given their business model, where they've got these takes or pay contracts. That being said, I would anticipate continued reserve adds, if we continue to have these commodity prices as low as they are and continuing on. So not really able to provide any additional guidance other than that at this point. We'll just -- we're obviously monitoring each one very closely, so ...
Steven Chubak: I understand. And maybe just as a follow-up to the comments, Steve, just thinking about the commodities complex more broadly, can you quantify the exposure that you have to the metals and minings space and your degree of comfort with some of the exposures that you might have in the portfolio?
Steven Raney: Yes. In mining and materials, our total loans are $52 million across 3 borrowers, so watching those very closely. The 2 of those 3 borrowers are criticized, so we've actually got heightened reserves against those loans already. So we continue to watch that very closely, alongside oil and gas as well.
Steven Chubak: All right. And just one more quick follow-up for me, just switching over to the, I guess, the main discussion from earlier. You gave helpful guidance on the 3%. I just wonder if you guys what that assumes in terms of the forward curve. It sounds like it doesn't require further rate increases, but just wanted to confirm that.
Jeffrey Julien: That is correct. I would mention, Steven, we have seen an increase in cash balances around the firm given all the volatility and the heavy recruiting that had brought additional advisers and clients to the firm. So you may remember, going back a couple of years, for several periods, we were reporting 2 NIMs; one, our actual reported net interest margin and one, adjusted for what cash balances are at the bank that are there kind of parked for taking this current client cash balances. There deposits spread on those balances, but it's at a lower margin. Our last dollar tonight, it's invested at the Federal Reserve, earning 50 basis points. So to the extent that we have additional client cash balances that reside at Raymond James Bank, our reported NIM would be lower, but our adjusted NIM, once again, absent that cash balances, we think, is around 3% going forward for at least the next couple of quarters.
Steven Raney: And while it doesn't assume an additional Fed action, it assumes the bank over time gets the full benefit of the hike that's already happened, which they haven't yet.
Operator: Your next question is from the line of Chris Allen with Evercore.
Christopher Allen: Apologize if I missed this, but did you provide any color in terms of the number of criticized loans within energy, I think, it was 5 a couple of quarters ago? I'm just not sure if you've provided an update there.
Steven Raney: It is -- let me give that piece of data here. 5 out of the 32 are criticized.
Christopher Allen: And how much in total?
Steven Raney: I don't have that -- I have the figures. I need to add it up -- I do have that. It's $81 million of the $444 million.
Christopher Allen: That's helpful. And then, within the Capital Markets business, obviously, on a sequential basis, material revenue declined and year-over-year saw the material decline. Pretax income held in a little bit better than we would have expected. I'm just wondering, were you guys able to offset the decline with a little lower compensation? Was there any material pullback in non-comp? I'm assuming some of the -- just the variable comp helped there. I'm just wondering if you can provide any color?
Paul Reilly: I think there are 2 pieces to that. One is variable comp. The Fixed Income business is extremely variable comp model and the equity capital market is a little less because of the research and other embedded costs. But we also have good trading profits in Fixed Income, which helps in that number too. Those disproportionately fall to the bottom line versus commission. So both of those factors helped mitigate it. But there's no doubt when business is down, comp is down, so -- for all of us. But that -- those were 2 factors that really impacted it for this quarter.
Christopher Allen: Got it. And then, nice to see that the capital being deployed to buybacks just given where the share prices were. I mean, what's the appetite moving forward, if kind of this market turmoil continues and there's more pressure on the share prices from here?
Paul Reilly: We have -- the board authorized $150 million, which we used $75 million in the plan and we will be talking to the repurchase committee about what the other strike prices are in that plan, so -- as we come out of the blackout after this. So I think, we've always -- we have taken the position that we're willing to buy back stock when the prices are right. So I think that attitude still exists today. So we've been pretty disciplined about it, maybe a little criticized at the peak of the market. But maybe in retrospect, we're fairly prudent. So we'll continue to operate accordingly.
Operator: Your next question is from the line of Daniel Paris with Goldman Sachs.
Daniel Paris: So the bank balance sheet continues to see healthy growth and for the second quarter, you've added pretty nicely to securities portfolio. Just curious why growing consensus that long and rates stay lower for longer. Are you more incentivized to keep adding securities to the balance sheet? And is there anything bigger picture you can give us to kind of size the balance sheet capacity from here? Some sort of target capital ratio? Anything along those lines?
Steven Raney: As it relates to the securities portfolio, it grew nominally and will continue as the balance sheet grows to just grow the balance a little bit. I would see we're at about $425 million. I would see it, maybe, grow into $500 million over the next 12 months or so. But yes, it's rate dependent. We're staying a little short. The duration of what we've been adding is in the 2.5 to 3-year range. It does -- it's a lower yield, but obviously, that's part of our liquidity strategy as well and it's a much higher yield than just the overnight cash and overnight liquidity. But it will still get a -- it's still relative to most other institutions. It's going to be a smaller part of our balance sheet composition going forward.
Jeffrey Julien: In terms of the overall capacity, there's a lot of capacity that take client cash balances. So if those continue to come in, we can continue to house them at bank. And as Steve mentioned, we would report dual NIMs, one with entire cash balances and one without those that we really haven't requested for growth. But in terms of growth in the normal course with the lending being the primary asset deployment, the real constraint there then is that we have a policy or a guideline that wants to -- so the bank -- we don't the bank to be more than 35% of the overall firm's capital, lest it change the characteristic or character of who Raymond James Financial is, so we're about 33.6%, I think, at the end of the December. We also have been keeping the capital ratios a little higher than we had in the past at the bank to facilitate its future growth, but that's really kind of going to be the constraint about the bank growing a lot faster than the overall firm.
Paul Reilly: And we don't -- we're not capital constrained at the bank at this point. So we think there's room for continued growth as we've been experiencing. But again, that can change, so -- but I don't think that's a deterrent right now.
Jeffrey Julien: And we're not really proponents of the leveraging up the bank balance sheet with securities strategy, although it's been suggested to us by numerous people. And while it has actually worked very well for a couple of our competitors in the past, we're dealing with going forward and we don't like taking the duration risk of those instruments on our balance sheet, even if it's somewhat short term. I mean, our portfolio has an average duration probably under 2 years. I mean, it's very short-term type stuff. We're not buying long-term securities in that portfolio in there and they're all typically government agency type stuff that we've been buying. So it has no credit risk really associated with it either. We're really in the securities to accomplish the liquidity requirements at the bank, not as a true investment strategy or a gross up strategy.
Paul Reilly: And for right or for wrong, certainly, our financial modeling standpoint would stay more aggressive, would be positive, but we also remember '09 that our strategy didn't really pay off for people. So we're staying very balanced. And again, our agency model, we know we're not trying to take equity risk or rate risk and trying to stay neutral.
Daniel Paris: Understood. That's helpful. And maybe just as a follow-up, I was wondering if you could share your initial observations following the first Fed hike? It looks like most money market funds have started to recapture fee waivers and large banks are passing on very little of the rate hike, at least on the consumer side of things. So wondering if you think the rate benefit for you may prove to be nonlinear; i.e., the first 25 or 50 could be much more valuable than the next 25 or 50, assuming we ever get the rate hike?
Paul Reilly: I think unlike our competitors, we've always had -- I'm not saying they don't, but I mean, we've always been very disciplined on sharing with clients. We did up our client rates. We haven't seen anybody really follow. Now you can say we doubled them for the lowest accounts from 1 to 2 basis points. It's not -- it's real money to us, but it's also symbolic to clients in upper tiers or higher. But we did pass on some of that to clients and that's part of our philosophy. So it could be nonlinear, but we -- part of our long-term success is treating clients well and we continue to want to do that. If it's slightly -- it maybe slightly nonlinear just as we watched the interest rate markets. There's no guarantee that rates won't come down again either. So we haven't been aggressively moving them up. One, there isn't competitive pressure. And secondly, and more importantly, we're just concerned about what could happen to rates in the shorter term, so we watch what the Fed and the markets do.
Daniel Paris: Got it. Okay. And I think, maybe, last one for me, if I can squeeze this in. In the last quarter, we talked about some of the trade-offs between investing in the business and generating near-term leverage, operating leverage. Jeff, I think you talked about some of the moving parts on the comp side, but are there things you could do on the non-comp side to ratchet down if we stay in this kind of challenging equity market environment?
Jeffrey Julien: Sure. I mean, we're in a process actually before the equity market went down at looking at, because of just which I think has paid off very good investments in our people and systems and processes that saying after 6 to 7 years of growth, it's time to always look at those expenses. So we're looking at our travel, our conference expenses, how many people are attending. Our conferences and trips are world-class, which is good, but can we rein some of that in, and we've been working on that. And certainly, the markets have accelerated that. So what were -- the philosophy is we can't cut support for advisers, that's #1, unless the markets are really bad, and then people would understand. So there's no plans there. We want to invest in the growth parts, the recruiting, but the rest of it as we know is all up including sort of technology investments, the speed at which we put some systems and processes in place. So we are looking hard at those. We were looking at them. We're looking much harder at them now to get those enacted. The one wild card here is we do have to integrate Alex. Brown and the new Alex. Brown advisers, so that's going to be a cost. We have to do that well. I think we showed in Morgan Keegan with a little criticism upfront that we were a little heavy in operating costs through the integration. But I think in retrospect, we made the right bet in keeping 92% of the trailing 12s, so we were offered retention. We need to do the same thing with the Alex. Brown advisers. Long term, it'll be measured by their successful integration and how many people stay with us, not by some of the shorter-term cuts. So that expense as those through the integration costs and when people join us will probably be a little elevated until we get the integration and then we'll do what we do with Morgan Keegan and right size the combined entity, not one side or the other if there's excess expenses.
Operator: Your next question is from the line of Christian Bolu with Crédit Suisse.
Christian Onwugbolu: Just a follow-up on the earlier question on deposit pricing. What's the deposit pricing assumption on the $8 million to $10 million benefit that you referenced earlier from the first 25 basis points Fed hike? I believe your prior assumption was to pass through 60% to clients. So are you passing on 60% through the first hike? Or is there potential upside to that $8 million to $10 million benefit, if deposit pricing is a little bit better than the prior?
Paul Reilly: Right. As pointed -- as asked earlier, there maybe a little front-loading to the extent that we don't get to that 60% that quickly, but on offsetting that, the bank repricing doesn't happen right away either on the revenue side. So the net of those 2 factors are kind of leading us to the -- that $8 million to $10 million type number per quarter here for the next few quarters.
Christian Onwugbolu: Okay, got it. Just wanted to get your updated thoughts on robo-advisors. I mean, many of your peers are investing in enhanced robo-advisors capabilities to help financial advisers deal with the DOL and help with client acquisition of smaller clients. Curious if Raymond James would need to make similar investments?
Jeffrey Julien: Yes, we do. The robo-advising phenomena, I'm sure that first, we already do a lot of asset allocation in our asset management groups. So the question is, if we make that more automated than it is today, then we certainly are giving clients access and advisers already access to our systems. Do we enhance that? Do we buy or rent the robo-advisors? Certainly. Most of the asset managers that have bought them have volunteered to rent them to us. And right now, we don't view it as a strategic imperative for our business, is that we're focused on the high -- on people with assets that we still believe that robo-advising phenomena today is still for basically clients without a lot of money. We do have some high net worth clients that put a little bit in there. It will be interesting when they compare their performance results with managed results and also the help they get in this kind of market through robo-advisors. Again, we're not overly worried about the trend. We do believe the technology, just like on online trading. As the technology improves, there are pieces of technology that we use, but we don't view it as a fundamental threat to our business.
Christian Onwugbolu: Okay. And just lastly, Fixed Income continues to just recover and seems to defy all the trends we've seen at the bigger banks. I appreciate your model is different, but curious if you could provide, maybe, some color on what's driving the strength you're enjoying? You winning new clients? Or are you -- do you think of gaining market share?
Jeffrey Julien: I think it's just execution. We're an agency business. So our inventory moves very, very quickly. We have a big muni book that we move very quickly. And we are top 10 underwriter. I think it looks like we finished the year at 8, in terms of origination and public finance. So we know the markets, we know the issues. We move them very quickly and across the board, we've done very well. We had some proprietary kind of systems and products that help clients and our model is just different. And these people are laying off, we're not. We're not overcapacity at all. We're performing well. Having said that, I'd much rather have a steep yield curve and a lot of volatility at business we do a lot better. Doesn't look like that. Maybe, we'll get the volatility part, but we're certainly not getting the steep yield curve part. So given the market, we're performing well. We're just not a high yield or new issue business outside of the muni space that a lot of the major banks and competitors really focus on. They're just different businesses.
Operator: Your next question comes from the line of Chris Harris with Wells Fargo.
Christopher Harris: Just a quick follow-up on the discussion about the discretionary expenses that you guys are taking a look at. Can you help us frame up the potential size of those expenses, maybe, as a percent of your total expense base would be helpful?
Jeffrey Julien: I don't think we can quantify that quite yet. I mean, we just started the intense process a couple of weeks ago. But I think the first part is -- of the exercise was reining in expense growth. You'd have natural growth with comp increases every year, which is certainly comps a big part of our expenses. And those comp increases, salary increases hit first quarter also with payroll taxes. So if the question is how do you rein in that expense growth? Then just by cutting back discretionary expenses. We're looking at the total technology spend. It's not that we're mothballing projects, but we may extend or invest a little -- defer into the next year, stretch out projects. So we don't have a number for it, but I can tell you we're very focused on it right now, and I'm sure this time next quarter, we could be a lot more definitive than we are right now.
Paul Reilly: And some of the biggest costs, we talked about conferences and trips and things like that, some of those are contractually committed to, so there's not a lot we can do about some of them other than regulate attendance a little more closely.
Christopher Harris: Got you. Okay. And then, the other question I had was on the recruiting expenses you guys incurred this quarter. Did you guys have any of those similar expenses in prior quarters? And if not, just wondering what made this particular quarter so unique where you'd actually be accruing that much for the advisers you are on-boarding?
Jeffrey Julien: No, I don't think there's a lot of uniqueness. There is a lumpiness by when people happen to join. But they just pop out when revenue is down. When revenue is up, there's a small percentage of revenue. When revenue is down, they are an increasing percentage of revenue and it's just -- I think they were kind of hidden costs to the outside viewer and we've had several commentary from you about expense containment and growth and I think those are some of the costs that you don't see line item by line item that had been there most quarters.
Steven Raney: And Paul was just giving you a flavor for some of the items that are in that. I mean, the business development line only went up marginally from the prior preceding quarter. So and, obviously, those expenses were present in preceding quarter as well. So -- and they will continue to be, if the recruiting stays on track.
Christopher Harris: Got it. And obviously, that's a good thing long term.
Operator: Your next question comes from the line of Jim Mitchell with Buckingham Research.
James Mitchell: Just a question on capital return. More broadly, you have a $250 million debt coming due this year. How do we think about the trade-off between stock buybacks and retiring that, or do you have the capacity to do both? Just trying to think through that issue.
Paul Reilly: Yes, we separate those 2 issues. Our buybacks in terms of what we think is a good use to capital and then how we fund it is through debt or equity. Probably safe to say we won't be raising equity anytime shortly in this market. But the -- we're -- our initial plans are looking at a refinancing of that debt, but it's all subject to both our appetite for investing in a business, which is a little bit on the markets. We certainly have Deutsche Bank coming up and so we will certainly in the summertime look at, as Deutsche Bank nears, at refinancing that and then looking at our whole balance sheet financings, which could be more or less depending on how we see the markets at that time.
Jeffrey Julien: For the immediate term, we certainly have the capacity to do buybacks and retire that of current resources.
James Mitchell: Okay. But at least, at this point, you're thinking more refinancing to keep flexibility?
Steven Raney: We probably even, we believe, have the ability to do the Alex. Brown transaction out of existing resources as well. But given our conservative nature in terms of capital levels and liquidity levels, there's a -- that would be more or less our targeted timing to have some other financing in place.
Paul Reilly: The downside of -- these markets aren't fun to work in, but -- and we're not wishing for a sustained down market, but those markets also bring opportunities. So -- and historically, we've done pretty well investing in down markets that paid off. So we want to keep that flexibility, but not at any cost. So again, as we get closer to that, we'll look at it much more tightly. We're not worried. We have enough capital and cash to not do it. But my guess is, if you ask for a predictive call, it would be the refinance that at this point. But I can't tell you if markets stay way down and there aren't a lot of opportunities. We may revisit that.
Steven Raney: And one other factor that is in our thinking is that in March of '17, we have the ability to call the $350 million of retail debt that's out there at 6.9%, so that's -- so thinking about that as well, obviously.
Paul Reilly: My guess is it's not a good time to go for 30-year debt today in the financial services industries. So we're -- we're part of that's what the market will. I know we have access to the markets, but we'll look at just what financing and costs and the markets look like ...
Steven Raney: We have the luxury of picking our timing somewhat here, so we'll try to optimize that to the best we can.
Operator: Your next question is from the line Hugh Miller with Macquarie.
Hugh Miller: Just had 1 question on an area that wasn't touched upon. With regard to the Alex. Brown deal, how should we be thinking about kind of the time horizon and once you start to get the bulk of the commitments from advisers? Is it just kind of leading off to the very end when it closes in the September quarter? Or would you anticipate you start to get a good sense of how many people will be joining ahead of that?
Paul Reilly: The early indications as we have 2, only 2 advisers in the whole group, which were very small, under $300,000, leave. Those are very early and I think had nothing to do with us. So, so far, so good. And we don't take it for granted. And I would say, within another 60 days or so, we should have at least a good indication, but one thing I learned at running a recruiting business is the measure they said is always bums in seats. It doesn't matter who signs, it matters who shows up and then sitting down in their chair the day after. So we don't -- and we don't take for granted even when they're here that they're here forever. It's part of the reason I think our retention is so well, so we focus on it. So I think that's subject to anything can happen in the market and situations that will impact that. So we're going to work really hard like everyone's at risk every day, but I think we kind of operate that way with our advisers too. So a lot of work ahead of us. So far, the early indications are very good. We don't think we'll keep 100%, but we think we'll do pretty well. And as we get closer, we'll know more.
Operator: Your next question is a follow-up from the line of Devin Ryan with JMP Securities.
Devin Ryan: Just a quick follow-up on the NIM outlook. I know there's a lot of moving parts here and any change in mix impacts that as well, but are you able to underwrite to higher yields? Or do you expect stress the credit market persists and that drives up corporate bond yields across the spectrum? Just trying to think through that 3% NIM outlook and if that could migrate up if short-term rates don't move and we just have a higher risk premium?
Steven Raney: Yes, Devin, that's absolutely a scenario that can play out. We've seen that in prior distressed periods. And we've even seen already a couple of isolated situations where we've seen some -- in particular, some foreign banks shedding some high-quality loans that at not huge discounts, but some discounts, that are improving our yields on those particular credits. So I would not say that we've seen that to be too widespread yet though.
Devin Ryan: Okay. But is incremental yield coming on today above or below 3%?
Steven Raney: I would say it's right on top of -- some above it, some below, just to get in the mix. So we grew assets and grew loans across all categories. Our securities-based loans tend to be lower than the average NIM. Our mortgage loans are kind of right on top of the average NIM. Our corporates are a little bit higher. So in our tax exempt loans, on the tax adjusted basis are higher so -- and once again, it's the asset composition and the asset mix that influences that quite a bit as well. So -- we are excited about the Alex. Brown team joining us in September. We think that will be accretive to the bank's loan production, particularly in our mortgage banking and our securities-based lending business.
Operator: Your next question is a follow-up from the line of Bill Katz with Citigroup.
William Katz: Two separate questions. First one, again, there's a lot going on, I presume, with market volatility season and what have we, but if you look at the commission for our advisor trend, that seems to be tailing off a little bit.  I'm just wondering if you could talk about maybe some of your underlying dynamics that might be driving that? And then secondly, I was just puzzled by your comments on why you wouldn't want to lock in some 30-year paper, given what's been happening with the yield curve, maybe you could expand your thinking on that, that would be helpful.
Paul Reilly: The commissions are 2 things. It's tailing off because of the fee. We bill off balances of client assets. So when the balances were down, the billings were down. So I don't think there's anything more and, certainly, syndicate was down transactionally, so I don't think it's -- I think that's an equity market trend, not an inherent trend for advisor productivity. I'm sorry, your second question? I missed that.
William Katz: I'm sorry. Just a follow-up on your comments that this would not be the time to lock in 30-year paper. Is that your view on rates? Is it view on the business conditions. So curious why would the rates sort of flatten pretty significantly year-to-date, you wouldn't be a little more nimble in locking that in, just curious to your thinking?
Paul Reilly: Yes. That was more of a bad joke on just the acceptance of 30-year financial services paper this week. It's probably not high in the market.
Steven Raney: We don't think the asset types there.
Paul Reilly: If the stock market's any predictor of what the long-term debt markets, although I believe -- I always said if you like our equity should love our debt because of our conservative nature and how we operate in the 112 quarters of consecutive profitability. We just don't think -- we think rates are good. We just don't think there's a lot of appetite right now given the markets.
Operator: At this time, there are no further questions.
Paul Reilly: Well, great. I appreciate you guys staying on. I knew there's a lot of questions again in the quarter. I know in the essence, on the surface, it was disappointing and a lot of that driven by markets. Hopefully, we explained both the market and the cost dynamics. I'm very comfortable with the position of the franchise, and I also understand our responsibility to manage in these times. So a great group of advisers, who are going to focus on continuing to help our clients and to watch the business. If markets deteriorate, we'll react. If they steady out a little bit, I think our focus on managing discretionary expenses, growth and focusing on investments while we can still recruit great advisers is the right long-term strategy for the firm. So thanks for your time, and talk to you again soon.
Operator: Thank you, ladies and gentlemen. That does conclude today's conference call. You may now disconnect.